Jacques Stern: Good morning. Good afternoon. I am Jacques Stern, CEO of Global Blue, and I'm with Roxane Dufour, the CFO of the Group and we will comment today the Q2 figures for the financial year '23-'24. Before letting the floor to -- giving the floor to Roxane, let me give you an overview of this presentation. First of all, you will see that the Q2 and H1 financial results have shown a significant increase, both in terms of growth and profitability. And this is driving a continuous improvement of the annualized quarterly adjustment, EBITDA, to EUR 142 million. Roxane will come back in detail on that. Second, in November, Global Blue have concluded 2 important capital structure transactions. The first one, whereby, Tencent have agreed to invest $100 million in Global Blue, consisting in 50% primary and 50% secondary for a total stake of 7.6%. This is significant, because one, it validates our leadership; second, it reflects the confidence in the ongoing travel recovery, in particular from Chinese; and finally, it supports the de-leveraging of the company. Second transaction is the refinancing of all of our debt, which ends up with a new facility of EUR 610 million qualified Term Loan B and a new RCF of EUR 97.5 million. And they're also significant because it extends the maturity of our debt to 2030. Last but not least, following the reporting of Q2, we are pleased to reiterate our financial guidance of the adjusted EBITDA for the fiscal year '23-'24 to EUR 145 million to EUR 165 million. So with this overview in mind, I now give the floor to Roxane for a detailed presentation of the Q2 financial year. 
Roxane Dufour: Thank you, Jacques. I'm Roxane Dufour, the CFO of Global Blue, and I will take you through the Group's financial performance for the second quarter and half year period ended on the 30th of September, 2023. Again, as a reminder, our financial year runs from April to March. Hence, this is our Q2 and H1 results announcement. Our reconciliation to the nearest IFRS metrics are included into the appendix. Let's move to Slide 8 for the adjusted P&L related to our second quarter. We are pleased here to report a solid start to the year with significant progress against all of our key metrics. TFS and AVPS reported Sales in Stores increased by EUR 2 billion, an increase of 42% versus Q2 last year. Group revenue increased by 38% to EUR 113 million versus the same period last year. Turning to adjusted EBITDA. We have delivered a significant improvement to EUR 47.2 million versus EUR 25.8 million in the same period last year. Finally, we recorded an adjusted net income for the Group of EUR 14 million, again, a significant improvement versus negative of EUR 2.1 million in Q2 last year. Let's turn now to Slide 9 to go into the revenue performance. Here you can see that we have a solid start to the year with strong growth across the business. We delivered 38.2% increase in revenue versus last year. I will go into the detail per division on the following slides, but you can see here for TFS, AVPS and RTS that they have contributed to further EUR 31 million in revenue in the period with a further EUR 1.7 million scope effect from TFS new countries and ShipUp acquisitions reported under RTS. We then have EUR 1.7 million impact related to the FX, which gets us at the end to EUR 113.2 million of revenue in Q2 this year versus EUR 82 million in the same period last year. Turning now to the revenue performance per division, starting with TFS, accounting for 76% of Group revenue in Q2 this year. TFS delivered a strong performance with an increase in revenue of 38% on a reported basis to EUR 86.2 million. On a like-for-like basis, revenue in Continental Europe increased by 28.5% to EUR 75 million, while revenue in Asia Pacific increased by 155% to EUR 11.2 million. This strong performance reflect the ongoing recovery across all origin nationalities with the reopening of Chinese border in January 2023, being the key driver of the revenue improvement, especially in Asia where sales install of shoppers from Mainland China has already recovered to 109% versus 2019. Jacques will cover this into more detail later. Turning now to AVPS. AVPS accounted for 18% of Group revenue in Q2 this year. This division also delivered a strong performance with an increase in revenue of 32% on a reported basis to EUR 20.2 million, reflecting a strong performance across both business segments. On a like for-like-basis, revenue in FX solution increased by 39% to EUR 10.4 million, while revenue in the acquiring business increased by 42% to EUR 10 million. As with TFS, AVPS is also benefiting from the ongoing recovery in the travel industry. Turning now to RTS. RTS accounted for 6% of Group revenue in Q2 this year. As a reminder, TFS reflect the acquisition of ZigZag in March '21, consolidation of Yocuda in September '21 and the acquisition of ShipUp in November '22. Here you can see RTS revenue increasing by 65% on a reported basis to EUR 6.7 million in Q2 this year. There was a strong organic growth of 39% from ZigZag and Yocuda and an additional EUR 1.1 million from the acquisition of ShipUp. Turning now to Slide 13 for the bridge from issued SIS to revenue. This is here the bridge detailing a number of items to consider between the issued SIS to the reported revenue. Here we are showing the comparison versus calendar year 2019. We are at 124% recovery for issued Sales in Store in TFS and AVPS. The issued SIS is presented on a like-for-like basis, meaning at constant parameters. Then we consider the scope effect, one for the U.K, related to the abolition of the Tax Free Shopping scheme in January 2021. And as a reminder, prior to the abolition of the scheme, the U.K. accounted for 14% of Group TFS reported SIS, which is no longer the case here. The impact from the U.K. abolishment is 18 points. Then you have a further impact of 5 points due to the FX translation and 1 point related to the discontinuation of our TFS business in Russia, which give us at the end 100% recovery in issued SIS in TFS and AVPS, reported one, with TFS at 94% and AVPS at 130%. We then have the refund ratio. As a reminder, once the transaction is issued, the traveler has to validate the tax reform and get the refund. At this point in time, the transactions is part of the reported SIS, which triggers the revenue. Today, the actual refund ratio is slightly lower than 2019, but it's mainly due to the nationality mix effect. Then there are transactions completed of period. This is where transactions are issued in a quarter, but validated and refunded in the following quarter. This gets us to a 102% recovery for completed SIS in TFS and AVPS. Then we have some leakage from this completed SIS to the reported revenue. First for TFS, we have a merchant mix effect where there has been an increased level of business with larger merchants who get a higher rate of commission. We then have an increase in average spend, which means a higher rate of VAT that is refunded and therefore a lower take-up rate for Global Blue. Second, we have the AVPS mix effect where the AVPS business, which is a lower margin, is growing faster than TFS. This gives us 87% reported revenue recovery for AVPS and TFS. Finally, we have 5% contribution for RTS, which give us 92% revenue recovery for the Group. Turning now to slide 14 for details on adjusted EBITDA. The significant improvement in revenue together with the ongoing focus on the cost base led to 83% increase in adjusted EBITDA in Q2 this year. We have a revenue drop through at 68%, and I will take you through the details here. We begin with our adjusted EBITDA, which was EUR 25.8 million last year, in Q2 last year. And then if you look at the additional contribution of each business, contribution being the marginal revenue minus the marginal direct variable cost, we have a further EUR 25 million in Q2 this year. Then considering EUR 2.5 million of fixed cost, EUR 0.5 million of scope effect and EUR 0.4 million of foreign exchange impact, the Group delivered an adjusted EBITDA of EUR 47.2 million with an increase in adjusted EBITDA margin of 10 points to 42%. Turning now to Slide 15 for further detail on adjusted EBITDA. Here we are showing the annualized adjusted EBITDA based on the quarterly recovery. Just to note, the yearly extrapolation include TFS, AVPS and RTS performance in the various quarter applied to the year. Previously, we had excluded RTS from this calculation, now it's included. You can see here a steady and consistent improvement in the annualized quarterly adjusted EBITDA. Now based on the Q2 recovery, the annualized quarterly adjusted EBITDA is at EUR 142 million. This has led to a significant improvement in margin from 27% in Q2 last year to 34.8% in Q2 this year. Now I will take you through the financial detail for the first half of the year. Slide 17, we are showing the adjusted P&L for the first half of the year. And again, we see the same positive trends as with the second quarter. TFS and AVPS reported Sales in Store increased by EUR 4.5 billion, an increase of 55% versus H1 last year. Group revenue increased by more than 50% to EUR 208 million versus EUR 138 million last year. Turning now to adjusted EBITDA. We have delivered a significant improvement to EUR 75 million versus EUR 32.6 million in the same period last year. Finally, we reported an adjusted net income for the Group of EUR 16 million, a significant improvement versus negative EUR 13.7 million in H1 last year. Turning now to Slide 18. Here, similar to Q2, we are showing the detail for H1 where we achieved 130% increase in adjusted EBITDA in H1 this year with a 61% revenue drop through in adjusted EBITDA versus the same period last year. Starting with our adjusted EBITDA at EUR 32.6 million last year. If we look at the additional contribution of each business, we have a further EUR 54 million in H1 this year. And then considering EUR 8.9 million of fixed costs, EUR 1.6 million of scope effect and almost EUR 1 million of foreign exchange impact, the Group delivered an adjusted EBITDA of EUR 75 million with an increase in adjusted EBITDA margin of 12 points to 36%. Now moving to Slide 19 for the D&A net finance cost. There has been a slight increase in adjusted EBITDA to EUR 17.9 million in the period. On the annual basis, this give us a D&A of EUR 36 million, which is in line with our current level of CapEx. Then to the net finance cost, cost increased by EUR 0.8 million to EUR 24.6 million. And this was mainly due to an increase in interest cost of EUR 12 million versus last year due to an increase in interest rates from 2.81% to 6.05% associated with the senior debt and revolving credit facility. This was largely offset by the other finance costs decreasing by EUR 11 million. And as a reminder, in H1 last year, we've been impacted by the foreign exchange losses related to Certares/Knighthead equity transactions and the supplemental shareholder facility that were denominated in USD, while Global Blue report in euro. Now let's move to Slide 20 for an analysis of our cash flow statement. After an adjusted EBITDA of EUR 75 million and a level of CapEx at about EUR 80 million in the period, the CapEx are essentially related to technology development. Turning now to working capital. Being in the peak period of TFS activity in the first half of the year, we usually see an increase in our working capital during this period. And as a reminder, the travelers that get refunds upfront and about 2 months later, we collect the VAT from the merchant or the authorities. Here you can see that we have an outflow of EUR 39.2 million for the period, but there will be a tailwind during the third quarter of our fiscal year. The interest related to our senior debt for the last six months paid in May 2023 has also impacted the cash flow by EUR 19.6 million. And finally, our net financial debt increased by EUR 18.7 million versus March 2023. Turning now to Slide 21 for the debt position. As of end of September 2023, our net financial debt amounted to EUR 568.5 million, including cash and cash equivalent of almost EUR 222 million. Nevertheless, knowing the recent events, I propose to jump directly on the next slide. As mentioned by Jacques in the introduction, we recently completed $100 million strategic investment from Tencent, a world leading Internet and technology company. Tencent agreed to invest $100 million in Global Blue Common Equity at a price of $5.5 per share, generally in line with the volume weighted average price over the previous 3 months. The common shares will consist of 50% primary common share to be issued by Global Blue, the process of which will be used to deleverage the company and 50% secondary common shares to be sold by affiliates of Silver Lake and Partners Group and certain member of Global Blue Board and management. This represents EUR 18.2 million common shares in playing an ownership in Global Blue that will be approximately 7.6% of the total issued share capital on a newly diluted basis upon completion of the transaction. This agreement reflects confidence in the ongoing travel recovery and support the long-term leverage target of below 2.5x net debt over adjusted EBITDA. Turning now to Slide 23 for detail on the refinancing. Our senior debt and revolving credit facility at the maturity date of August 2025. Earlier this month, we took the opportunity to renegotiate our senior debt to strengthen Global Blue balance sheet. The new agreement, which was signed on the 24th of November, is comprised of a term loan of EUR 610 million and a revolving credit facility of EUR 97.5 million with maturity extended to 2030. The term loan has a variable rate equal to a rebate for the period plus a spread of 500 basis points per annum, while the revolving credit facility has a variable interest rate equal to a rebate plus a spread of 450 basis points per annum. In that context, 2 public rating have been issued to Global Blue with Moody's and S&P attributing B1 and B+ respectively. Turning now to Slide 24, which show the pro forma net debt. So this is here the net debt position for H1 as if the financing was in place. With the RCF undrawn and the supplemental shareholder facility fully repaid, that leaves us with a gross financial debt of EUR 610 million on a pro forma basis. Then we have EUR 48 million of cash and cash equivalent, which leave us at the end with a pro forma debt of EUR 562 million. Turning now to Slide 25 for the key takeaways. First, we are pleased to report a solid recovery with a significant increase in H1 revenue of more than 50% to EUR 208 million. Second, thanks to the strong revenue growth and ongoing management of the cost base, we are pleased to report a strong improvement in H1 adjusted EBITDA to EUR 75 million with an increase of 130% of that reported last year and with a revenue drop through of 61% in adjusted EBITDA. On that basis, if we annualized the adjusted EBITDA based on the quarterly performance of our business, there is an acceleration in H1 at EUR 142 million. We then have the $100 million equity investment from Tencent, which validate confidence in the ongoing travel recovery and support our deleveraging target. Finally, to further strengthen the balance sheet, the Group refinance its total indebtedness with a senior debt of EUR 610 million and a revolving credit facility of EUR 97.5 million in place until 2030. So this conclude the financial section. And I will now hand over to Jacques to present the latest trends and the long-term growth driver for Global. 
Jacques Stern: Thank you, Roxane. So let's start by the latest trends and namely October for the Tax Free Shopping business. So you see that October 2023 is broadly in line with Q2 with a like-for-like performance of 123%, which reflect one side, a slight decrease of the recovery in Europe at 115%. And on the other hand, a strong momentum in a back at 147% versus 134% in Q2. If we go to the detailed analysis of Europe, Continental Europe, you can see that the performance of October reflect a recovery of 91% of international shoppers, but an increase of the spent of 26%, which end up with this 115% recovery in terms of spent. If we go to the detail per nationality coming as a destination in Continental Europe, you see that if we exclude Mainland China, which is on the course of recovery and Russia for the reason that we know, the sub-total of all the other nationality is broadly in line in October versus Q2 at 154%. And I will have a detailed slide on the U.S. in the coming second. But important to note that, we have the bone backs of the Gulf countries at 241% and the rest of the nationality are broadly in line with Q2. If we look to China, and I will have there also a slide in the coming minutes, we see a slight acceleration at 52% in October versus 45% in Q2. Couple of slides in order to understand the U.S. shopper recovery and assess the status. You see that October show basically a very stable situation at 260% recovery versus 258% recovery in Q2, which translate one side, an increase of 162% of recovery for the number of traveler, but also an increase of the spent of 60%, which end up to this 260% recovery in terms of spent. When we try to detail per consumer type performance of 260%, you can see in this slide where we have basically compared the consumer who are shopping in each of these periods, so H1 '22, H2 '22, H1 '23 and Q3 '23 with the amount that the same person with the same passport number was spending in 2019. You can see that basically the more affluent or wealthy you are, the more you tend to increase your spend. So I give you an example. If we take Q3 2023, you see that for consumer spending more than EUR 20,000 with Global Blue, the increase of the spend is a multiplier of 3x versus 2019. Where if we look to the segment below affluent which are spending more than EUR 3,000 and less than EUR 20,000, you see that the multiplier is 1.9x. And the rest, i.e., below EUR 3,000, the multiplier there is below 2019, 0.6x. So in average, 60% increase with a multiplier of 1.6x. But I think what is important to see here is that the trend has been very, very consistent, including in the last quarter, as you see that the main figures are really stable. So in summary, the U.S., we are seeing no change and in particular for the more VIC or high net worth individual where the spends is still very strong. If we turn now to the Chinese as a nationality of origin coming to Europe -- Continental Europe as a destination, we are seeing that in October, a slight increase to 52% level of recovery versus 45% in Q2. And you can see on the right that this is translated into a recovery of 39% in terms of shoppers with an increase spend of 33% ending up to 52% tax free spend recovery. Worst to mention that link to the lead time required for visa issuance, but also the absence of group travel. Until now, we have seen that the international shopper recovery is below the air capacity, but those two roadblocks should unwind, I would say, in the coming months, in particular the group travel, which are expecting to return by the end of this calendar year or the beginning of next year. When we look to the same chart that I've shown to the U.S. for Chinese coming in Europe, you see that we are seeing the same element. So I remind you, same people with the same number of passport who have shopped during the period shown here versus 2019. And there also, we are seeing like American, that the more wealthy, i.e., the one spending more than EUR 20,000 have a multiplier of spend versus 2019, which is the highest, 2.5x in Q3. And there also, we see a very strong consistency in the data in the next -- in the last 18 months. Turning now to APAC as a destination. We see that October have shown a continuous increase of the recovery at 147% versus 2019 versus 134% in Q2. And there also, we are seeing a very strong increase of the spend with 34%. But we see there that the level of international shopper recovery have now reached the level of 2019 with even an increase of 110% versus 2019 in terms of number of shoppers. If we look to the detail per nationality, and there also excluding China as an origin country, you see that we see an acceleration in October at 189% driven by citizens from Hong Kong, Taiwan, but also followed by Japan and Korea, so Northeast Asia with 2 very strong set of results well above 250% for those 2 nationality. And if we look to Mainland China, who used to represent 56% of the Sales in Store in 2019, we see a slight increase in October at 109% recovery versus 105% in Q2. There also, if we go a little bit more in detail, we see that the level of recovery in terms of number of shopper is 47%, whereby -- where the increase in average spend is 132%, translated into this 109% in terms of tax free spend recovery. So in summary, if we exclude Mainland China and Russia, we can see that the recovery in Continental Europe is well above 150% and almost at 190% now in APAC. And obviously, we still have China, which needs to continue to recover, which has started in APAC where we reached 109%, but still around 50% in October. Why this is important, this recovery of the Chinese, obviously, because this drive further improvement of profitability for Global Blue. You know this chart. Just to remind you a few things. So as mentioned by Roxane, our quarterly annualized EBITDA is now after Q2, reaching 142% -- EUR 42 million, which implied recovery in terms of China revenue of 40%. And this is to be compared to our top profitability on the calendar year 2019 where we reach EUR 187 million of EBITDA. And on the right, so on the green part of this chart, you can see the simulation of the Chinese recovery. And if I take, for example, 125% recovery for the Chinese in the coming quarters, based on the more capacity of airline and also this fading of the roadblocks that I was mentioning in Europe with travel group and visa, you can see that the Group could reach more than EUR 200 million EBITDA, which I remind you, is our guidance for '24-'25 fiscal year, so over EUR 200 million. So this would imply 105% recovery of the Chinese revenue. So let's turn now for a few slides on the recent achievement. Few things there to mention, first on the commercial front for Tax Free Shopping. We are continuing to improve our market share. You see on the right, couple of very significant names, which have gained in H1 '23-'24, Bottega Veneta, Audemars Piguet, Lacoste, but also other brands. And worse to mention that this strong gain, but also a very strong growth retention rate of 99.4% end up to a net retention for the last 4 years, including this H1 set of result of 103%. So a gain versus loss, which is positive by 3% per year. So reinforcement of market share in Tax Free shopping, but also in Tax Free Shopping, the continuing level of increase of digitalization, which you know is very beneficial in terms of increased penetration, which increase at the end the volume, but also in terms of cost, as you know, more digitalization in terms of refund out of the airport means also reduction of the cost. You can see here that the progress is in all front. Issuing, we are almost now at 100% of digital issuing. Validation, H1 translate more or less the same level than last year. We have not shift any new country in terms of export digital validation, but few are on the pipeline. In terms of consumer engagement through our mobile customer care, you see that we continue to increase the coverage at 66% versus 62% last year. And digital refund out of the airport, you see also there an improvement in H1. So continuous improvement in terms of digitalization. I will come back talking about the long-term target in a couple of minutes. And this is one of the key elements of our volume growth. Turning now to AVPS, so added value payment solution. There also some very nice gain in terms of FX solution during H1. Poste Italiane for the ATM DCC management, but also PPIH in Japan, Scotiabank in Canada, BCC Pay in Italy and World Pay in the U.K. There also to mention a very strong growth retention rate for the last 3 years in line with H1 at 98.2%, which translate into a net retention rate. So net gain and loss of 104.7%. Last but not least to mention and to report the successful launch of the Global Blue Hospitality and Retail Gateway. In the last quarters, more than about 280 hotel which has been rolled out with this new gateway. And during the last quarter, we have been able to sign 7 new acquire, adopting our gateway solution in terms of technology with names like Nexi, but also [ Mandiri Bank ], but also ANZ and NETS. And for which, in the coming months, we will roll out this technology with new hotel to be signed. It's already the case for Nexi and for GCC and Mandiri. It will be the case for Vesca, Maybank, NETS and ANZ in the coming months. On top of that, very pleased to report that we have on top of those 7 acquired, signed, 16 acquired which are in the pipeline. So a very strong and successful launch of our Global Blue Hospitality and Retail Gateway, which are complementary to the GCC/FX solution that we are setting to acquire. Let's turn now on the long-term guidance and target. So you know that we have released in September 2023, a set of guidance and long-term target. I'll give you the highlight of that first, and we reconfirm this guidance following Q2 reporting for the financial year '23-'24 and EBITDA guidance between EUR 145 million and EUR 165 million. In terms of next fiscal year '24-'25, a target of more than EUR 200 million EBITDA. And for the period post full, I would say, a normalization, an objective long-term of revenue of 8% to 12% for the Group with revenue to EBITDA drop through above 50%. And CapEx, which for all the period are set to be between EUR 40 million and EUR 45 million, of which 80% of capitalized software. Beside those P&L long-term target, 3 other targets which has been revealed in September. First, that we confirm that in terms of net working capital, this should be neutral in the future post '25-'26. In terms of effective staff trade, a rate of 24% to 26%. And as mentioned by Roxane in the Q2 presentation, an objective in terms of net debt to EBITDA below 2.5, i.e. a priority on debt pay down in terms of usage of cash flow. Few slides in order to give you a little bit more detail, especially on the long-term target, i.e. post '24-'25, which will still be a year of recovery with Chinese coming back in Europe and in APAC. So post this period, so starting in '25-'26, as mentioned, we have a target of growth of 10% to 14% in terms of Sales in Store for Tax Free Shopping, broadly in line with the last 10 years figures just before COVID. And in particular, with strong objective beside market growth, 6% to 8% of contribution of new country between 1.5% and 2% contribution. Digitalization, so more penetration of our solution, thanks to digitalization, 2% to 2.5% growth. And finally, a net retention of between 0.5% and 1.5% contribution coming from net gain from clients in TFS. And this should translate into revenue growth in terms of Tax Free Shopping between 7% and 11%, as shown on the right of the graph, very consistent there also with the 10 years performance before COVID. If I turn now to FX solution, so there also an expectation of growth in terms of volume between 9% and 13%, very much in line there also with the long-term trend pre-COVID, which has reached around 10% and 13.5%, including the acquisition of Currency Select, which would translate there also with revenue growth between 9% and 13%, very much in line there also with the performance pre-COVID of the FX solution division. Last but not least, just to remind you, that Global Blue is well ahead once again the inflation. And you have in this chart, reminding that if the luxury brand had increased their price of 27% in average versus 2019, the inflation has been brackets only by -- only 20%, which means that we had a positive impact in terms of P&L. And probably, more importantly today, to remind you that given the positioning of Global Blue in luxury, but more importantly, in selling luxury goods to high net worth individual and more wealthy people, 10% of our consumer base represent almost 50% of our Sales in Stores, so our volume. Given this particularity of positioning, Global Blue in the last recession had been able to push basically flat figures versus a luxury market down by 8% and travel down by 16%. So in summary, we are ahead again a recession, but also inflation, which is in this uncertain time important to have in mind. So with that in mind, and for concluding this presentation, just to re-mention that Q2 have shown, I would say, a strong set of results, which are basically following also a very strong Q1; that during the last weeks, we have announced 2 important capital structure transaction, one, which is this investment of Tencent of $100 million. And secondly, the fact that we have fully refinanced our debt with now a new package of debt with a maturity extended to 2030. And last but not least that with the Q2 reporting, we are pleased to reiterate our financial guidance for the year, and in particular, the adjusted EBITDA between EUR 145 million and EUR 165 million. Thank you very much. And with Roxane, we give you another round review for Q3. Thank you very much, and bye. 
Roxane Dufour: Bye, bye.